Operator: Good day, and welcome to the TTM Technologies Q4 2018 Earnings Call. At this time, I'd like to turn the conference over to Sameer Desai, Senior Director of Corporate Development and Investor Relations. Please go ahead sir.
Sameer Desai: Great. Thank you. Before we get started, I would like to remind everyone that today's call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements related to TTM's future business outlook. Actual results could differ materially from these forward-looking statements due to one or more risks and uncertainties, including the factors explained in our most recent annual report on Form 10-K and other filings with the Securities and Exchange Commission. These forward-looking statements are based on management's expectations and assumptions as of the date of this presentation. TTM does not take any obligation to publicly update or revise any of these statements whether as a result of new information, future events or other circumstances except as required by law. Please refer to disclosures regarding the risks that may affect TTM, which may be found in the reports on Form 10-K, 10-Q, 8-K, the registration statement on Form S-4 and the Company's other SEC filings. We will also discuss on this call certain non-GAAP financial measures such as adjusted EBITDA. Such measures should not be considered as a substitute for measures prepared and presented in accordance with GAAP. We direct you to the reconciliation of non-GAAP to GAAP measures included in the Company's press release which was filed with the SEC and is available on TTM's website at www.ttm.com. I would now like to turn the call over to Tom Edman, TTM's Chief Executive Officer. Please go ahead Tom.
Thomas Edman: Thank you, Sameer. Good afternoon, and thank you for joining us for our fourth quarter 2018 conference call. I'll begin with a review of our business strategy, including highlights from the quarter and fiscal year followed by a discussion of our fourth quarter results. Todd Schull, our CFO, will follow with an overview of our Q4 2018 financial performance and our Q1 2019 guidance. We will then open the call to your questions. First and foremost, I would like to thank our employees for delivering an excellent year in 2018 for TTM Technologies. We achieved record revenues during fiscal year 2018 and an EPS of $1.76, the highest level achieved in the history of the Company. We also closed the acquisition of Anaren Incorporated during the course of the year, representing a critical step forward in our differentiation strategy. Despite softening end markets in the fourth quarter, we delivered non-GAAP earnings per share of $0.52, above the high end of our original guidance. While our forecast for Q1 reflects weakening demand particularly in cellular, we will continue to remain focused on operational excellence on behalf of our customers and continued cash flow generation. Our strong 2018 results validated many of the elements of the TTM strategy we've communicated over the past several years. First, the diversification of our end markets helped to reduce quarterly volatility and grow our total Company revenues in what was a challenging year in one of our end markets. Specifically, growth in our aerospace and defense, medical, industrial and instrumentation, and computing end markets helped to offset the difficult conditions in the cellular end market. Second, we continue on our path towards differentiation in the automotive and aerospace and defense end markets. Notwithstanding near-term global demand weakness, we view the automotive end market as a core growth driver due to increasing electronics content and the adoption of advanced technologies. We see four key megatrends driving automotive PCB content growth, number one, vehicle safety and autonomous driving; number two, increasing adoption of hybrid and electric vehicles; number three, advanced infotainment; and number four, increased connectivity. Estimates of $67 in PCB content per vehicle in 2017, up from $62 in 2016 are expected to grow to $75 by 2020. Some hybrid and electric vehicles currently employ well over $150 of PCBs per vehicle. Because of the above trends there continues to be a tremendous amount of innovation in the automotive electronics industry. In 2018 for TTM, advanced technology revenue, which includes radar, HDI and rigid-flex grew 42% year-on-year to 19% of our automotive revenues. Further, our design activity remains robust which bodes well for future revenues. In the automotive market customer engagement begins well before product ramp. We won 53 new automotive designs in the fourth quarter, bringing the total for 2018 to 190 up from 170 in 2017. Of the 53 designs won in the fourth quarter, 21 were ADAS-related compared to 11 in Q3. Designs that we are winning this year will further contribute to revenues in future years. I'm also proud of our employees' efforts in the aerospace and defense area, which has been further enhanced by the Anaren acquisition. Our organic aerospace and defense revenues grew 17% in 2018 over 2017, achieving a new record level. This strength is the result of our team's focus on supporting customer build-to-print and design-to-specification requirements across a broad base of major defense programs. The Anaren acquisition represents another critical step in our differentiation strategy. The addition of Anaren has increased our presence in the aerospace and defense end market and greatly enhanced our focus on the high-growth radar and satellite portions of the market. Anaren's wireless components are also leveraged the adoption of 5G technology, which will lead to a substantial increase in our future addressable market for these components. As I've mentioned before, the addition of Anaren moves TTM higher up in the value chain, allowing us to engage with customers earlier in the design cycle. Our customers can now rely on TTM to deliver a completely designed RF solution to meet their needs. Now I'd like to review our end markets. For TTM, the aerospace and defense end market represented 24% of total fourth quarter sales compared to 15% of Q4 2017 sales and 23% of sales in Q3 2018. In addition to the contribution from the Anaren acquisition, we grew 12% year-over-year organically in the fourth quarter. Total program backlog at the end of Q4 was $481 million, a new record versus $448 million in Q3. We expect sales in Q1 from this end market to represent about 27% of our total sales. For the full year, aerospace and defense increased 17% organically and reached a record high as TTM benefited from increased defense spending and demand for multiple new programs. In 2019, we expect growth to continue to outpace market projections of 2% to 4%. Networking/communications accounted for 18% of revenue during the fourth quarter of 2018. This compares to 17% in the fourth quarter of 2017 and 17% of revenue in the third quarter of 2018. Dollar sales were up on a year-over-year basis due to the inclusion of Anaren where we enjoyed robust wireless sales for early stages of 5G development, while core TTM revenues were down 11% year-on-year. In Q1, we expect this segment to be 18% of revenue. For the full year, networking/communications grew 2% year-over-year due to the inclusion of Anaren. With the expected early phases of 5G ramp activity in 2019, we expect this market to be in line with longer-term forecast of 2% to 4% growth. Automotive sales represented 16% of total sales during the fourth quarter of 2018 compared to 18% in the year-ago quarter and 15% during the third quarter of 2018. Automotive sales were weaker than expected in Q4 and down year-over-year due to the softness in global demand, particularly in China and Europe. We expect automotive to contribute 19% of total sales in Q1. For the full year, automotive declined 2% as softer units volume in China and Europe more than offset gains in PCB content. In 2019, we expect the market to be below longer-term forecast of 5% to 8% growth, reflecting ongoing softness in unit demand. The cellular phone end market accounted for 14% of revenue in the fourth quarter compared to 27% in Q4 of 2017 and 17% in Q3 of 2018. The sequential decline was primarily due to weaker-than-expected sales and more conservative ordering from our cellular customers. We expect cellular to represent 6% of first quarter sales in Q1 as the market digests inventory built in the fourth quarter. For full-year 2018, cellular declined 21% as cellular customers managed inventory and reduced demand in a slowing smartphone market. Due to the softer start in 2019, we expect this market to be below longer-term forecast of 4% to 7%. The medical/industrial/instrumentation end market contributed 14% of our total sales from the fourth quarter compared to 12% in the year-ago quarter and 13% in the third quarter of 2018. The strength in the quarter came from some of our top medical and industrial customers. For the first quarter, we expect this market to be 15% of revenues due to weakness in the semiconductor test segment, partially offset by strength in the industrial and medical segments. For the full year, MI&I grew 10% due to strength from our top customers and significant growth in the number of new customers. In 2019, we expect growth to be in line with a 3% to 5% forecast with year-on-year momentum driven by business development activities with new customers. Sales in the computing/storage/peripherals end market represented 13% of total sales in the fourth quarter compared to 10% in Q4 of 2017 and 14% in the third quarter of 2018. We saw revenue grow year-over-year by 25%, driven primarily by high-end data center servers and laptops. We expect revenues in this end market to represent approximately 13% of first quarter sales with growth driven by high-end laptops and tablets. For the full year, computing grew 10% as we saw growth across our data center server customers. And in 2019 we expect to be below the expected end market growth of 0% to 2% due to a digestion period for high-end data centers. Next I'll cover some details from the fourth quarter. During the quarter, our advanced technology business, which includes HDI, rigid-flex, substrate and RF subsystems and components, accounted for approximately 38% of our Company's revenue. This compares to approximately 44% in the year-ago quarter and 40% in Q3. The sequential and year-over-year decline were driven by softness in the cellular end market. For the full-year 2018, advanced technology accounted for approximately 36% versus 37% in 2017. We are continuing to pursue new business opportunities and increase customer design engagement activities that will leverage our advanced technology capabilities in new markets. Capacity utilization in Asia Pacific was 73% in Q4 compared to 92% in the year-ago quarter and 80% in Q3. The sequential and year-over-year declines were due to softness in several of our commercial end markets. Our overall capacity utilization in North America was 57% in Q4 compared to 53% in the year-ago quarter and 60% in Q3 as our A&D and computing end markets continue to drive strong utilization levels in North America. Our top five customers contributed 35% of total sales in the fourth quarter of 2018 compared to 44% in the year-ago quarter and 36% in the third quarter of 2018. Our largest customer accounted for 17% of sales in the fourth quarter versus 28% in the year-ago quarter and 20% in Q3. For fiscal 2018, our largest customer was 15% of sales versus 20% in 2017. For fiscal 2018, our top five customers were 32% of revenues versus 37% in 2017. At the end of Q4, our 90-day backlog which is subject to cancellations was $458.4 million compared to $481.9 million at the end of the fourth quarter last year and $514.8 million at the end of Q3. Our PCB book-to-bill ratio was 0.96 for the three months ending December 31st. As we look forward at Q1, we expect the mobile market demand weakness in particular to impact utilization rates in our advanced technology facilities. At TTM, we always act to reduce costs in order to mitigate the effect of softening demand cycles. At the same time, these advanced technology facilities will continue to focus on preparing for the next ramp in the cellular phone market, while we work to further diversify our cellular customer base. In addition, we are taking steps to prepare our advanced technology facilities for the longer-term, anticipating the demand of advanced technologies into other markets such as automotive, medical, industrial and networking/communications. These markets will increasingly demand advanced technologies due to the coming 5G rollout, new advanced chipset designs and ongoing miniaturization, all of which will require printed circuit boards with denser circuits. In the longer term, our strategic focus on diversification, differentiation and operational discipline will pay off for TTM, our investors and our customers. Now, Todd will review our financial performance for the fourth quarter. Todd?
Todd Schull: Thanks Tom, and good afternoon, everyone. I'll point out some of the highlights for the quarter and the year. Revenue in the quarter was $711 million. Revenue for the year was $2.85 billion, a record, and up 7% from 2017. Non-GAAP operating margin was 10.3% in the quarter. Non-GAAP operating margin for the year was 9.4%. Non-GAAP EPS was $0.52 in the quarter. Non-GAAP EPS for the year was a record of $1.76, up from $1.57 in 2017. Adjusted EBITDA was at $117.4 million in the quarter. Adjusted EBITDA for the year was $438.8 million, up from $388.6 million in 2017. Cash flow from operations was $151.8 million in the quarter. In addition, we paid down $70 million of principal on our Term Loan B in the fourth quarter and additional $30 million on February 1st of this year. Since the acquisition of Anaren in April of 2018, we have now repaid a total of $144 million or approximately 24% of the additional debt that we incurred to purchase Anaren. For the fourth quarter, net sales were $711 million compared to net sales of $739.3 million in the fourth quarter of 2017 and compared to third quarter 2018 net sales of $755.8 million. The year-over-year decrease in revenue was due to declines in the cellular and automotive end markets, partially offset by the inclusion of Anaren and growth in our core aerospace and defense, computing and medical/industrial/instrumentation end markets. GAAP operating income for the fourth quarter of 2018 was $42.8 million compared to $71 million in the fourth quarter of 2017 and $54.6 million in the third quarter of 2018. On a GAAP basis, net income in the fourth quarter of 2018 was $52.5 million or $0.42 per diluted share. This compares to $49.2 million or $0.40 per diluted share in the fourth quarter of last year and $27 million or $0.22 per diluted share in the third quarter of 2018. Our GAAP net income reflects the release of a tax valuation allowance of $43.6 million. The remainder of my comments will focus on our non-GAAP financial performance. Our non-GAAP performance excludes acquisition-related costs, certain non-cash expense items and other unusual or infrequent items as well as the associated tax impact of these items. Additionally, we exclude non-operational changes in our tax expense such as the release this quarter of a tax valuation allowance. We present non-GAAP financial information to enable investors to see the Company through the eyes of management and to provide better insight into the Company's ongoing financial performance. Gross margin in the fourth quarter was 17.5% compared to 17.9% in the fourth quarter of 2017 and 17.5% in the third quarter of 2018. The year-over-year decrease in gross margin was primarily due to the lower volumes in our cellular end market, partially offset by the addition of Anaren and growth in our A&D end market. Selling and marketing expense was $18 million in the fourth quarter or 2.5% of net sales versus $16.6 million or 2.2% of net sales a year ago and $18 million or 2.4% of net sales in the third quarter. Fourth quarter G&A expense was $33 million or 4.6% of net sales compared to $31.6 million or 4.3% of net sales in the same quarter a year ago and $35.5 million or 4. 7% of net sales in the previous quarter. The year-over-year increases in selling and marketing and G&A expenses were due to the addition of Anaren, partially offset by reduced incentive compensation expense. Our operating margin in Q4 was 10.3%. This compares to 11.4% in the same quarter last year and 10.5% in the third quarter of 2018. Interest expense was $18.1 million in the third quarter, an increase of $7.4 million from the same quarter last year due to the incremental term loans associated with the Anaren acquisition and higher interest rates. During the quarter, we recorded $0.3 million of foreign exchange gain. Government incentives brought the total gain to $2.3 million or approximately $0.02 per share. This compares to a net loss of $3.6 million in Q4 last year. Our effective tax rate was 4.8% in the fourth quarter, down from 12.2% a year ago. For the full year, our effective tax rate was 10.4%. Fourth quarter net income was $55 million or $0.52 per share. This compares to fourth quarter of 2017 net income of $61.2 million or $0.57 per diluted share and third quarter 2018 net income of $55.1 million or $0.50 per diluted share. Adjusted EBITDA for the fourth quarter was $117.4 million or 16.5% of net sales compared to fourth quarter 2017 adjusted EBITDA of $121.7 million or 16.5% of net sales. In the third quarter, adjusted EBITDA was $122.3 million or 16.2% of net sales. Cash flow from operations was $151.8 million in the fourth quarter versus $152.7 million in the same quarter last year. Cash and cash equivalents at the end of the fourth quarter totaled $256.4 million versus $208 million in the third quarter. Depreciation for the fourth quarter was $41.5 million. Net capital spending for the quarter was $33.7 million. Now I would like to turn to our guidance for the first quarter. We expect total revenue for the first quarter of 2019 to be in the range of $610 million to $650 million. As a reference point, our first quarter revenue last year was $663.6 million. We expect non-GAAP earnings to be in the range of $0.14 to $0.20 per diluted share. This compares to an EPS of $0.26 per diluted share reported in Q1 of last year. The year-over-year decline in EPS is due to decreased volumes in our cellular end market and certain networking/communications and automotive-focused facilities, partially offset by the acquisition of Anaren and growth in our aerospace and defense end market. This guidance includes a reduction in revenue and gross profit of $8.9 million and $6.2 million, respectively, reflecting the estimated first quarter impact of ASC 606, the new revenue recognition standard. The EPS forecast is based on a diluted share count of approximately 107 million shares. Our share count guidance includes dilutive securities such as options and RSUs, but no shares associated with our convertible bonds, which can change based on our future stock price. As a reminder, for every dollar increase in average share price above $14.26 during a quarter, our shares outstanding would increase by approximately 1.5 million shares. We expect that SG&A expense will be about 7.8% of revenue in the first quarter. We expect interest expense to total about $18.2 million. Finally, we estimate our effective tax rate to be between 13% and 17%. To assist you in developing your financial models, we offer the following additional information. We expect to record during the first quarter amortization of intangibles of about $17 million, stock-based compensation expense of about $4.1 million, non-cash interest expense of approximately $3.5 million, and we estimate depreciation expense will be approximately $41 million. Finally, I'd like to announce that we'll be participating in the JP Morgan Global High Yield and Leverage Finance Conference in Miami on February 26. That concludes our prepared remarks. And now we'd like to open the line for questions. Jessica?
Operator: [Operator Instructions] We'll go to our first questioner Matt Sheerin with Stifel.
Matt Sheerin: I have a multi-part question on the cellular business. So you're basically - you're guiding down 60% sequentially after you're down 20-plus percent. And I know, Tom, that you talked about growing below market. The market, it sounds like it's still going to grow. If you just sort of do the math on seasonality, you're looking down at least double digits for the year. So do you think - I mean in terms of how you look at that market this year with your top customer, how do you see seasonality playing out? Or is that too early to tell here?
Thomas Edman: Yes, thanks Matt. Obviously as we wind down the cycle for this generation of phones, I think the sell-through has been disappointing and that's impacted. And I would say it's going to impact our Q1 and most likely our Q2. Of course, what we always hope is that the inventories get worked through in Q1 and we're flat to up in Q2, but always hard to forecast and we really don't get a good look at that until after Chinese New Year. As far as the next ramp goes, it's really too early to predict. As we get into that ramp cycle, what I can tell you is that we have - as you would expect and very actively prototyping and positioning for the third quarter and fourth quarter ramp. And so far it's a relatively predictable process or standard process in terms of what we're following.
Matt Sheerin: And in terms of your share with your top customer, have there been any share shifts at all? Because if you look at where your numbers are relative to other suppliers, I mean everybody's down a lot. It just seems a little bit more severe than others and I'm just wondering if that has to do with the mix, the products that you're in or any share shifts?
Thomas Edman: Yes. So no share shifts of size. I think the - it's always hard to comment on what others might be seeing. I think what we're - what we see and what we usually see is there is an allocation in terms of PCB operations between phones and then what the other work that we do in computing. And as you - as we mentioned, computing was certainly up in Q4 and looks to be strong in Q1. So there's an allocation impact there. And when we look at share, we sort of look across programs and across products types. I think we're still very much in a strong position there.
Matt Sheerin: And just lastly on that segment. As you pointed out, your advanced technology is down a lot because of the cellular business. And you also talked, Tom, about adding other end markets as those technologies advance. How close are you? Are we talking like a one to two year time frame for things like medical and automotive adapting to those technologies? Or is it longer than that?
Thomas Edman: Yes. So actually we have - so we have two large advanced technology facilities. And one of those facilities has been very active in terms of qualification process is actually - one of the facilities we've been gearing more and more towards those other markets. And what I can say is that there are parts that have already ramped in those areas. Small volumes admittedly but ramping. And if you think about particularly in the automotive side, the infotainment type applications, the less critical applications that really are demanding in terms of miniaturization or form factor requirements. Those - some of those applications have already shifted over into advanced technologies. And so we are - we're shipping volumes there still small, but gradually ramping. And so as you look forward, I would look at this as a gradual but regular increase in terms of the volume we do out of those facilities for other markets.
Matt Sheerin: Okay. But it just sounds like until volumes in your core cellular business come back, I mean you're just going to be underutilized there at least for much of this year which is negative leverage obviously. Okay. Alright. Thanks very much.
Thomas Edman: Yes. I think to be specific, Matt, I think the Q1, Q2 that I think your point is well taken. I think Q3 will be back into a ramp and that will be a much higher utilization of the advanced technology facilities with Q3, Q4.
Operator: [Operator Instructions] We'll go next to William Stein with SunTrust.
William Stein: Tom, every couple of years, maybe it's every three I'm not sure of the cadence, I think your largest customer has sort of shift in technology that they demand from you that winds up driving. I think it drives ASPs higher, maybe yields temporarily lower and sort of changes that dynamic in that end market for the year, I think typically makes it better. Is 2019 one of those years? I think 2018 was not. It was instead a similar technology from 2017. Maybe 2017 was the last time you had one of these transitions. Can you refresh my memory on that please?
Thomas Edman: Yes sure. Yes and it's more - well, so always careful to project the past into the future. But if you think about the significant transitions in terms of PCB technology, most of it has to do with lines and spacing requirements. So circuit density requirements. And so if you look at where we were in 2011, there was a significant shift in that time period into advanced High Density Interconnect technology, about three, four years later we had another shift that was of less magnitude but moved in terms of lines and spacing requirements. And then we had the move in 2017 into substrate like PCBs. And that brought us into the state where we are today which is in the - think about the 30 micron, 30 micron territory in terms of lines and spacing. And what that gives us is pretty much from a technology standpoint a roadmap down towards 2020, 20 micron, 20 micron lines and spacing which is a pretty significant process window if you will in lines and spacing. So as we look at 2019, I think this will be a year where we're going to see a similar use of substrate like printed circuit boards. The good news there is that, yes, you're right. There is usually a significant move in terms of ASP with the new technology shift, but you also have much more significant yield challenges with those shifts as well. What we are, of course, working with our facility on in this next generation where we're not expecting a significant of a technology shift, we're working very closely on how we can maximize yields right from the get-go, and then of course improve during the course of the ramp. And that becomes the critical area of focus. I would not anticipate a significant shift in PCB technology until we get well into that 5G-enabled phone territory where you actually start seeing circuit requirements driven by chipsets go below the 20 micron area.
William Stein: Maybe one other broader question on the cycle, I mean, where you're not providing guidance for the full year, but Q1 guidance it feels to me like this has to be a low point. We've heard this from at least a couple of - not exactly like you, but let's say semiconductor suppliers. Would you be calling Q1 as the bottom for your business? Would you have - the count let's say at least that? And maybe what sort of pace of recovery are you thinking about as we go through the year? Thank you.
Thomas Edman: I think where we are - and of course this is dependent on where our end markets end up. And I think certainly we have been seeing customers work through inventory - short-term inventory situations. I talked about the cellular inventory and I think the same case in automotive. And if you look at our Q1 guidance, we're actually looking sequentially better in automotive in terms of our forecast. That's a decent indicator. But if you look at our other markets, I think we're going to see a balance here. And networking/communications very interesting situation where we've seen service spending and some of the data center pauses, it seem to have impacted that market. And so we haven't seen the networking strength that we were expecting. And on the other hand, I've seen really encouraging 5G early stages of ramp. So you take sort of that market, there's some interesting dynamics going on there that I would expect to continue here through Q1 into Q2 anyway. And in the ramp - 5G ramp continuing to pick up pace. And medical/industrial/instrumentation as I spoke about, I think that market has continued to be a good - nice strong market for us, where we service or assist a number of different players in that space and with that diversity there's nice protection and also strong growth prospects. So what I can say, Will, is as we look out, I think the biggest wild card out there is really what happens with the macroeconomic situation. And certainly as that impacts our customer that has an impact on us, I think the inventory situation seems to be working itself out. There's some good dynamics here and we've got some very nice trends that we're working into with our advanced technologies. But overall that life is macroeconomic situation. And certainly we'd love to see the tariff issues with China get worked out. That would be a help. But then beyond that to see how that shakes out in terms of macroeconomic growth.
Operator: [Operator Instructions] We'll go to Maynard Um with Macquarie.
Maynard Um: That was great color on the puts and takes for 2019. If we put it all together, do you think that 2019 is a year of - do you think it still gets slight revenue growth in the current macro environment? And then, I guess is that sort of a - what assumptions are you making in terms of any stimulus for the year?
Thomas Edman: Yes. I think so, as we look at these different markets, and I think as you put together the forecast that we provided to you, and as you think about how we grew last year, we had about a 7% growth rate year-on-year last year. And as we look at this year, and as you look at those end markets, again, I think you're looking and certainly TTM would like to grow in that mid-single digit area. I think if you put the growth forecasts together, what we're seeing, we're somewhere - I think we're somewhere in that neighborhood in terms of growth. And as you pointed out - that's predicated on what we see today in terms of the macroeconomics associated with each of these end markets.
Maynard Um: And then on the 5G side, can you just talk about what parts are you in? Is that in the base stations? Is it in small cells, the backplane assemblies, the different parts there? And how meaningful could this be? I mean I've heard some people talk about more meaningful revenues starting in calendar Q4. I'm just wondering if that's around the same time we should be thinking about more material revenues from 5G?
Thomas Edman: Yes so let me give you a couple of pointers on this. We are actually - in terms of the networking/communications space we play in three different aspects of this. One is on the wireless components side business that came over to us from Anaren. As that business came over to TTM, it was approximately $60 million in size. And as we look at that piece of the business, we're looking at content in both base stations and more importantly antenna. We believe that's why we're seeing the strength - the 5G strength at least initially come into our wireless component business more than our other areas. And there you're looking at a content opportunity of about 3 times the 4G opportunity. And I think that's conservative, given the density of antennas required to carry the signal for 5G. So that's wireless components. The other two pieces are our printed circuit boards and backplane assemblies that primarily go into the base station side of the business. I think base stations will pick up more slowly. We've been doing initial shipments in both areas and have been gradually ramping with customers. But I think your forecast - what you're hearing from others about the fourth - third and fourth quarter late 3Q into 4Q is probably appropriate when you start thinking about those areas and the volume ramp in networking/communications. And then to give you a feel for the size of that, if you go back to 4G, we do expect 5G to be a little bit of lengthier cycle, given again the density of the signal-carrying requirements. So a longer cycle and slower build out. But to give you a feel in 4G as we peak - we peaked at networking/communications climbing to about 25% of our revenue at the time. And telecom as a portion of that business moving up to about 50% of that business from the one-third of the business which it really constitutes at a low point in the cycles. So hopefully that gives you a feel for it.
Maynard Um: And then just on auto side, did you talk about that being up a little sequentially? What's the primary driver? Just refreshing the inventory or is there something fundamental?
Thomas Edman: Yes, and a good question, Maynard, because that - I don't- it's hard. And as I mentioned earlier, it's hard to say that this is - and given the forecast is really for moderate sequential growth, it's hard to tie a trend to that. I think it's more if anything it's just a little bit of working through inventories and more solid real demand. We'll see how this develops. As I mentioned, we're very excited about the fact that the advanced technology mix for the full year last year moved up to 19%. And that's up from, if you remember we were in the 10% to 15% range historically. So to move that up now closer to 20% that's a significant volume shift for us as the advanced technologies in particularly RF start to be used now in the ADAS sensor area and then in some of the early work that's going on in autonomous vehicle area. That's an exciting development for us, that's an area that we'll continue to focus on. And certainly as the year develops, again, we're - our goal is to continue to grow that content as a percent of our automotive revenue.
Maynard Um: And then lastly just on the housekeeping side, can you talk about why the tax rate is increasing year-over-year and how should we think about the full year?
Todd Schull: This is Todd. So this year as we went through the year, the geographic mix of our earnings got more and more favorable, which means we were actually generating better profits out of the U.S. than maybe our historical pattern. And that's consistent with all of Tom's comment about the aerospace and defense business and how strong that business has been for us. So that mix of profit by geography was quite favorable to us here going into the end of the year. Also then as you go into next year we started thinking about the new tax law and how that kicks in. Yes, we had some impacts this year, but that tends to be a bit sheltered by our NOLs that we've had. But next year, we're looking at a more conservative mix of profits as well as less optimism, I guess if you will in terms of the benefits of the new tax law as additional regulations are published regarding how to apply that law. Most recently we had proposed regulations come out on the GILTI provisions as well as the tax credit - foreign tax credit provisions. And like many companies that have made comments in the last couple of weeks, we're seeing that to be a little less favorable than we had originally anticipated based on the headlines that we got about a year ago. So that's really what's playing into the mix.
Operator: We'll now take your question from Steven Fox with Cross Research.
Steven Fox: I guess first of all given that you seem to be comfortable with the capacity levels going forward, I mean it seems like capital spending into this year could be a lot lower than we've seen in previous years given the inventory corrections in the early part of the year? And then secondly, can you give us a help with cash flows and also on working capital given how you're working on inventories now. How does working capital look this year versus, say, what have said in 2018? And then I have some follow up.
Thomas Edman: So couple questions there. One was just cash flow and then I think the other was CapEx. So let me take them one at a time. CapEx, so this year we're looking at a slight decline in CapEx more in the $130 million to $150 million in terms of million dollars of CapEx. That is cash CapEx. There's always a lag in meaning that procurement leads the cash transaction. So this year we're still paying off some of the CapEx from last year. Our actual new procurement during the year would be somewhat less than that number that I've quoted you. And you're right and in fact we have these conversations all the time. A fair amount of that CapEx is capacity related or replacement related, and that's flexible. If the economy gets turn making - takes a turn for the worse or softens further than what we have anticipated, we do have the ability to reduce that number. And that's something that we'll watch and will monitor as we go through the year. But our initial spending based on the expectations that have for the year which are consistent with kind of the revenue trends that Tom shared with us during the call suggest that the number that we have is in that range of - it's close to the 5% but it's in that 4% to 5% range. Regarding your cash flow question, you're right to observe that when the quarter turns down you should be squeezing some cash out of your working capital. Now we did have a very strong Q4 cash flow this year of $150-some-odd-million dollars. And that was similar to last year in terms of strong Q4. Last year's phenomena somehow though actually borrowed or brought forth a little bit from Q1. And as you recall, we had a pretty tough Q1 on our cash flow from operations bases last year. I think we're actually negative about $14 million. This year as we do our modeling, we're expecting kind of a more normal Q1. We expect to be positive in cash flow for the quarter, which would then represent a pretty significant improvement year-over-year. And then we'll watch it as we go through the year. If we have the kind of traditional pick up later in the year that will use a little working capital, then we'll go through our cycles. We do tend to have some choppiness quarter-to-quarter. But over the course of the year, we deliver some pretty strong numbers. So even in the face of some challenges in 2018, we delivered somewhere around $275 million of cash flow from operations and that was a pretty good number. We're certainly looking to have a good number this year as long as the economy hangs in there.
Steven Fox: And then just on the Anaren piece of the business, I know you guys don't break it out. But can you give us some sense for how satisfied you are when you look at what you did in 2018 with the business relative to your sales and margin expectations? And directionally a sense for how that business might grow or not grow, I don't know, in 2019? Thanks.
Thomas Edman: Yes sure. Approximately - so Anaren in Q4 was approximately in the $64 million range on revenue. If you think about it separately as Todd has mentioned before on calls, it's getting - it's more and more difficult to separate and talk about the Anaren piece, because it's so integrated now into what we're doing both on the commercial side and on aerospace and defense. I think on the revenue side as we look forward, the revenue synergies that we've been looking at as an opportunity here for Anaren, most of those will play into next year, because as you can imagine aerospace and defense it takes a while for these programs to build in. But they will be - what we're working on in terms of program opportunities are significant on the RF side to add to that piece of revenue. On the commercial side, as I mentioned, we've - again - we've been very pleased short-term with the performances. We saw 5G really start to impact the business there positively. And as we go forward, again, we've been working with a number of customers both in the automotive and on the networking side on the revenue synergy piece. And here these are really new efforts that we started as we came together as a Company. So those really would not impact revenues until next year and will start relatively small and build from there. But what I can say to you, Steve, I think from an overall profit impact standpoint we've just been tremendously pleased with Anaren from an impact on our culture and how we do go about business with our customers. We've been really pleased with Anaren. It's allowed us to really deepen that engagement with our customers and open up opportunities for those revenue synergies. So could not be more pleased with the addition of Anaren and what the Anaren team has brought to TTM.
Operator: We'll now take your question from Tony Venturino with Federated Investors.
Tony Venturino: Tom, I think it was you in your prepared comments, you talked about the auto design wins. How should I think about those design wins roughly growing 10% year-over-year and given the fact that you have long lead times into that? I mean how should we think about transitioning to revenue over the coming years? And then I have a follow up.
Thomas Edman: Yes. Sure. So and I understand it's one metric to look at. As we look at program wins, if you will, it takes - generally take 18 months to 24 months for a program to ramp. In some cases it can even stretch beyond that 24-month window. So when we're talking about ramps during the course of last year, you would start to see that impact our revenues as we go out again 18 months to 24 months from the time of the win. And so if you're starting to think about that 10% impact, of course, obviously when we're talking about advanced technology shift that we're seeing in the business those are wins that we would have gained the year prior, so in the 2017 - 2016, 2017 time frame which was just as we were coming together with Viasystems. So those are now starting to pay dividends to us. And then what we're trying to do is give you a picture of what we see here with the wins and the growth that that will drive as we head through the course late into this year and into next year.
Tony Venturino: And then how should I think about that 190 in terms of kind of the overall market opportunity? Essentially, what does that represented in terms of your share? Was it even - kind of think about it in that way?
Thomas Edman: As we think about the 190 wins. Okay. Yes. So, yes. So if you think about advanced - let me just characterize, because we have different technologies that work here. So there's a portion of the advanced technologies that are tied to high density interconnect and product used primarily in infotainment inside the cockpit miniaturization requirements. And there our share - there's approximately six to seven players in that market. And so we are building a position into that market in terms of share. If you think about the RF portion of that share, we are one of the primary go-to's for RF. And as you can imagine that's been a business that has been building here rapidly over the course of the last two years to three years. And so there we have a stronger incumbent position if you will on RF. So if you take the whole thing together then hard to give you a characterization of exactly what our share is, but HCI 106 to 107, RF a significant player in a universe that is three or four players.
Tony Venturino: And then you had another comment on MII. You talked about the top customers spending and driving the growth there. Have you quantified the portion of top customers and how you think about that? Is it maybe the top 10% or top 25%? How should we think about top customers there, because I know it's a pretty broad business.
Thomas Edman: Yes exactly. So less than that. And if you think about what we have said is, if you think about the business itself relatively evenly split here between medical and industrial is a little bit larger than the instrumentation piece. But there is - but we have a good strength of business is pretty well split between those. Clearly as we're heading into a little bit of a weaker instrumentation climate, we're seeing more of a contribution on the medical and industrial side. But overall in terms of longer-term trends, relatively well split. In terms of customer concentration, yes, pretty large - a large customer base pretty well fragmented and then any major customers are going to constitute less than - in that 10%, 10% to 15% for the largest, but not a significant piece of that business.
Tony Venturino: And then maybe last one for Todd. You guys have paid down another $30 million of term loan this quarter - or sorry in February. How should we think about your capital allocation and future debt reduction?
Todd Schull: Sure. Our focus and commitment we've been very public about it is to drive our net debt leverage ratio as quickly as practical down to 2.0 post-acquisition - after the acquisition we made that commitment. Obviously we spiked up with the acquisition. We've streamlined, we're focused on cash flow generation and we're now driving that down. And our focus then is to use our free cash flow and apply it against that debt in chunks throughout the year as the cash flow becomes available. But we're trying to drive down to that 2.0 ratio and then that gives us a pretty comfortable level to then consider various options at that point.
Operator: It appears there are no further questions at this time. I'd like to turn the call back over to Tom Edman for any additional or closing remarks.
Thomas Edman: Thank you. Yes, just to close by summarizing some of the points that we've made earlier. First, we delivered solid earnings for our fourth quarter, despite softening end markets. And for the year, we achieved record revenues and non-GAAP earnings. Second, while we are facing a challenging start to the year, we continue to execute well on our core strategies of diversification, differentiation and discipline. And we are really excited by many of our long-term growth drivers as well as the revenue synergies that are rising from integration of Anaren. And finally, I'd like to thank again our employees for your contribution last year, our customers of course, and our investors for your continued support. Thank you very much.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.